Operator: Ladies and gentlemen, welcome to the Antares Pharma Third Quarter 2020 Financial and Operating Results Conference Call. Throughout today's recorded presentation, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask live questions.  I will now the conference over to Tram Bui, Antares' Vice President of Corporate Communications and Investor Relations. Please go ahead, ma'am.
Tram Bui: Thank you, operator, and good morning, everyone. Earlier today, we announced our third quarter 2020 financial results and operating achievements. A copy of the press release and slide presentation for today's conference call are available in the Investor Relations section of the Antares corporate Web site.
Bob Apple: Thanks, Tram, and good morning to everyone. We are excited to report another quarter of record financial and operating results for the third quarter of 2020, which we believe illustrates the tremendous growth opportunities we have across our business with our proprietary portfolio and partnerships. Our total quarterly revenue increased by almost 17% year-over-year to $40 million, beating Street estimates, with contribution of almost 38% year-over-year revenue growth from our proprietary portfolio, and 6% from our total partnered product development and royalty revenue. This also brings our nine-month year-to-date revenue to a record $105 million, a 23% increase year-over-year. Furthermore, we grew third quarter net income by almost 380% year-over-year, to $5 million or $0.03 per share, and generated cash from operations of more than $14 million for the nine months ended September 30. Throughout the quarter, we effectively reached physicians and patients with our proprietary portfolio of products, supported our partners with their development programs, and manufactured over one million commercial auto injectors for our products and our partners' products, despite the ongoing impact of the COVID-19 pandemic on our employees, suppliers, and the communities we serve. Furthermore, the recent announcement of the licensing of NOCDURNA for the U.S. from Ferring Pharmaceuticals immediately expands our proprietary portfolio, and adds another lever to our growth strategy. As we continue to work diligently to support our growth initiatives, we are reaffirming our full-year 2020 revenue guidance of $135 million to $155 million, which represents growth of between 9% to 25% for the full-year compared to 2019. With that overview of the third quarter achievements, let me start with our proprietary portfolio on slide five, which represents our highest margin business and is the most significant growth driver of the company. While OTREXUP remains a steady contributor, our flagship product, XYOSTED remains the fastest growing branded testosterone product on the market based on volume, with revenue growth of 74% and 160% in the third quarter and nine months of 2020, versus the same periods last year. Total prescriptions for XYOSTED also increased 129% and 137% in the third quarter and nine months ended September 30, 2020, versus the same period last year based on IQVIA data. The testosterone market continues to expand, and we believe the demand for an easy-to-use virtually painless at-home testosterone replacement therapy will further support the adoption of XYOSTED. We believe our switch messaging has already and will continue to resonate with physicians not wanting to crowd their waiting rooms and offices for IM injections, and patients relucting to venture into any type of healthcare facility for non-emergency care. We were steadfast in our strategy at the onset of the pandemic, and leveraged a virtual detailing platform and social media presence to connect with existing and potential patients and healthcare professionals. As our sales force garner more in-office visits with their physicians, we continue to effectively manage through the varying stay-at-home orders, restrictions, and phased openings as the pandemic hits its second wave in the U.S.
Pat Shea: Thank you, Bob, and good morning, everyone. I would like to start by reiterating Bob's excitement for the recent licensing of NOCDURNA for the U.S., which represents a potential large-market opportunity based on the high prevalence of nocturia as well as the large number of patients both underdiagnosed and undertreated. With strong commercial insurance coverage and a 50% to 70% targeting overlap between NOCDURNA and XYOSTED, we believe NOCDURNA is a detail-sensitive product that will benefit from improved disease state awareness as well as the attention of our specialty account representatives to eight physicians and proper patient identification and pull-through. We're excited to reintroduce to physicians and their patients suffering from nocturia due to nocturnal polyuria a therapy that's clinically proven to treat the underlying etiology of the disease. From a commercial execution perspective, we are re-launching NOCDURNA in two phases. The first soft launch phase is currently underway. We have already trained and deployed our sales team to engage in conversations with a targeted group of urologists. These healthcare professionals are current XYOSTED targets, some of whom are also prescribing NOCDURNA. As I just mentioned, we have existing relationships with these offices and providers, and believe the receptivity to NOCDURNA will be high. It's early in the re-launch, yet we're already seeing situations where representatives' access to key urology practices has improved due to an interest in NOCDURNA.
Bob Apple: Thanks Fred. I hope having Pat join our call helps our investors and any potential new investors better understand the opportunity we believe lies ahead for XYOSTED and what a successful re-launch of NOCDURNA could look like. With Pat's extensive commercial pharmaceutical experience spanning three decades and a prudent sales force, we will continue to explore other corporate development opportunities to expand our proprietary portfolio by also focusing on the development of our internal program pipeline. As we have noted in the past, we are in the early stages of development for two assets in endocrinology and urology as you can see on slide seven. Our endocrinology development program, which we refer to as 1901, is a rescue pen that is still in the pre-clinical and formulation stages of development. We had a successful pre-IND meeting with the FDA early this year for this program. While we were able to identify and agree on a 505(b)(2) development pathway for an eventual NDA submission. As we continue to develop the asset and garner success with the formulation, we plan to submit our IND to the FDA in the first half of next year. Our urology asset, which we refer to as 1902, is in development as a potential weekly formulation of an auto injector administered product. We hope to get feedback from the FDA at a pre-IND meeting later this year and expect to initiate a first in human study in the first half of 2021 and follow that with an IND filing in the second half of 2021. While these internally developed assets represent potential future growth drivers, we also have a robust commercial and development pipeline with our partners that we believe are unappreciated opportunities.
Fred Powell: Thanks, Bob. Good morning, everyone. Let me reiterate Bob's enthusiasm for the strong third quarter and nine month to date financial and operating results we reported this morning. During the third quarter, our total revenue grew by more than 24% sequentially from the second quarter of 2020 to $40 million, and we reported net income of $5 million or $0.03 per share, meeting street expectations for both revenue and net income. In addition, both our net revenues and net income for the quarter represent the highest amounts in the company's history. Let me now provide a more detailed review of the financial results for the third quarter and nine months ended September 30, 2020 starting on slide number nine. Total revenue generated from product sales, license and development activities and royalties was $40 million for the three months ended September 30, 2020, an increase of 17% compared to $34.3 million in the same period in 2019. For the nine months ended September 30, 2020, total revenue was $105.5 million, which represents a 23% increase from $86 million for the comparable period in 2019. Product sales were $28.9 million for the three months ended September 30, 2020, representing a 17% increase compared to the same period in 2019. For the nine months ended September 30, 2020, product sales were $80.7 million, representing a 27% increase from the comparable period in 2019. Sales of our proprietary products, XYOSTED and OTREXUP, generated revenue of $15.8 million and $43.2 million for the three and nine months ended September 30, 2020, an increase 38% and 71% as compared to the three and nine months ended September 30, 2019. The increase in proprietary product sales for the three and nine months ended September 30, 2020 compared to the three months and nine months ended September 30, 2019 was attributable to the continued growth in sales for XYOSTED. Partnered product sales were $13.2 million for both the three months ended September 30, 2020 and 2019 and $37.5 million and $38.4 million for the nine months ended September 30, 2020 and 2019. The net decrease in sales of partnered products for the nine months ended September 30, 2020 as compared to the same period in 2019 is attributable to $5 million in decreased sales of needle-free devices to Ferring and $2.8 million in pre-launch quantities of generic generic teriparatide devices sold to Teva. These decreases were offset by an increase in sales to Teva of the generic EpiPen auto-injectors. Remember that the company previously announced the divestiture of the needle-free devices to Ferring in 2019. Licensing and development revenue was $4.3 million and $8.8 million for the three and nine month periods ended September 30, 2020 as compared to $1.2 million and $4.4 million for the comparable periods in 2019. The increase in licensing and development revenue for the three and nine months ended September 30, 2020 was primarily from the Pfizer rescue pen and the Idorsia selatogrel pen development programs. Royalty revenue was $6.7 million for the three months ended September 30, 2020 compared to $8.4 million for the same period in 2019. For the nine month period ended September 30, 2020, royalty revenue was $16 million as compared to $18.1 million for the same period in 2019. The net decrease in royalty revenue for the nine months ended September 30, 2020 was primarily attributable to $4.1 million decline in royalties from AMAG on the sale of their Makena subcutaneous auto injector, which was then partially offset by an increase in royalties from Teva on their sales of generic EpiPen. Gross profit was $23.5 million and $21.2 million for the three months ended September 30, 2020 and 2019 and $61.4 million and $49.6 million for the nine months ended September 30, 2020 and 2019. The increase in gross profit was primarily attributable to the increase in proprietary product sales. Our total operating expenses decreased to $17.6 million for the third quarter of 2020, compared to $19.2 million in the comparable period of 2019. Total operating expenses for the nine months ended, September 30, 2020, decreased to $53.9 million, as compared to $54.2 million comparable period in 2019. The decrease in operating expenses for the three and nine-month period of 2020 as compared to the same period in 2019 was primarily attributable to a reduction in sales and marketing costs incurred as a result of the various stay-at-home orders and travel restrictions related to COVID-19. Net income was $5 million or $0.03 per share for the third quarter '20, compared to a net income of $1 million or $0.01 per share in the same period of 2019. Net income was $4.8 million or $0.03 per share for the nine-months ended September 30, 2020, as compared to the net loss of $6.7 million or $0.04 per share in the comparable period of 2019. This quarter also represents the fourth out of the last five quarters where we have reported positive net income. Finally, we have a strong balance sheet that we believe can support our growth initiatives. As of September 30, 2020, cash, cash equivalents, and short-term investments were $52.2 million, compared to $45.7 million as of September 30, 2019. We have generated more than $14 million in cash from operations for the first nine months of this year, which is a $24 million improvement from a cash burn of almost $10 million in the same period last year. I'll now turn the call back to Bob for closing remarks. Bob?
Bob Apple: Thanks, Fred. In closing, we delivered outstanding quarterly results with record revenue, profitability, significant cash generation, and continued the upward momentum that is indicative of the strength of our organization. We strongly believe our diversified business provides sustainability, and will continue to advance and support our future growth, as reflected on side 10. While our partnerships with Teva, Idorsia, and Pfizer remain dedicated to the advancement of their pipeline, we also have an expanded product portfolio with NOCDURNA that now represents another level of growth beyond XYOSTED. As we expect to continue to outperform, we will look for additional opportunities to further enhance our proprietary portfolio. We believe we are building a rapidly growing business for our shareholders that is not reflected in our market value. As the pandemic continues to affect how we do business, I appreciate the dedication of our employees as we effectively navigate a world that has obviously changed. Operator, you can now open the line for questions.
Operator: Thank you.  And our first question comes from Anthony Petrone of Jefferies. Please go ahead.
Anthony Petrone: All right, thank you, and good morning. Congratulations on a good quarter, and hope everyone is doing well.
Bob Apple: Thanks, Anthony.
Anthony Petrone: Moving to start with Bob or Pat, and maybe dig into NOCDURNA a bit, and the detail was helpful here this quarter, and so, maybe we can review how many urologists at the moment are writing for NOCDURNA? What is the ultimate target in terms of penetration in the Phase 1 rollout, and again, what is the synergy, if you will, in expanding throughout all of the prescribers that are currently writing for XYOSTED? And I'll have a few follow-ups.
Bob Apple: All right, well, I'll let Pat handle that question. Pat?
Pat Shea: Yes, sure. Thanks, Anthony. So, right now we have, from a urology perspective, around 2,100 targets that we're actually physically calling on making calls on, either virtual or live. About 1,900 of those are also NOCDURNA targets. One of the things we want to remember, that the volume of NOCDURNA from a prescription perspective somewhere around in total about 500-550 prescriptions per month, which gives us a good base all coming from this urology group to kind of start building that back up over the next couple months. So from out standpoint, we look at a XYOSTED primary target or a primary call, and then a NOCDURNA secondary call with that urology group that I just mentioned.
Anthony Petrone: Okay, and maybe a little bit of -- press you a little bit there in terms of how many are currently writing for NOCDURNA, and it sounds like the target is to get to 1,900. So what is the delta, and maybe a bit of history on why on deferring it was underinvested and why perhaps it's settled in this 500 to 550 prescription per month range, and really the path to the upside, is it DTC marketing? It looks like tier 3 coverage is in place, and so tactically, what is the plan to expand the monthly prescription count?
Pat Shea: Yes, sure. So I'll answer both of those components, from a strategy perspective as we kind of looked at this brand it was clear that Ferring strategically was kind of moving out of the urology space for a number of different reasons, and therefore did not put a robust effort behind the product. So, with that said, we feel that more effort in a couple of different areas is going to   the growth. Number one, we talked a bit around the sales force focus from an execution standpoint, carving out this group of urologists where we feel, a, we have a presence because of XYOSTED, and we have a ton of relationships where we feel pretty confident that that's going to open up a lot of doors for us, and therefore a good crossover of patients, overactive bladder patients, BPH patients, nocturnal polyuria, all within that practice that we're going to have access to. Second, we feel pretty bullish on the fact that we have to put into place educational efforts, both to the prescriber and to the patient, and that's going to come in the second wave, where we have more time to prepare and execute that starting in the first quarter, and then the third piece, which is a little bit of an offshoot of that second one is, is really activating the patient. This is a highly underdiagnosed and undertreated patient population. Perhaps some misdiagnosis with overactive bladder and/or BPH, so we feel reaching out through a very aggressive social media campaign, starting again in the fourth -- I'm sorry, the first quarter of next year is going to be pretty important. So it's call activity with a very focused group of prescribers, it's a robust educational effort both to physicians and prescribers -- I'm sorry, physicians and patients, and also an assertive effort on the social media front to patients.
Anthony Petrone: That's very helpful.
Bob Apple: And, Anthony, I would add just too that…
Anthony Petrone: Yes, go ahead.
Bob Apple: If you take a step back, we -- and strategically this fits perfectly with XYOSTED. People who have hypogonadism or low testosterone also have nocturia, and so it's a -- it could be a dual patient for us from a product standpoint, but importantly, and I don't want to underscore this or not mention it. Our sales organization has done a fantastic job with the XYOSTED launch, and this is a product in urology that we believe they can have an immediate impact with the physicians and for patients, and so, we felt that we couldn't get a better fit for an asset relative to where we are today in the therapeutic area. So we're really excited about the relaunch or the launch for us of NOCDURNA, and we think the team is going to do an outstanding job, but again, the fit was probably one of the best we could possibly hope for relative to our call points and the type of products that we currently sell.
Anthony Petrone: Very helpful, and now two quick follow-ups and I'll hop back in. One would be on XYOSTED. Bob, just maybe a reminder of, you mentioned sort of second wave of COVID. That was a driver in getting IM patients over to subcutaneous XYOSTED, and so is there a way to quantify how many IM patients are still out there, and do you think you see a reacceleration because of the COVID case counts jumping up? And then a quick one for Fred, would be just a reminder on the timing of payments from Teva around generic Forteo, both on the device side and the royalty side, how that will be structured as we look into the latter part of this year and into '21? Thanks again.
Bob Apple: So, Anthony, on XYOSTED, we continue to -- our sales team continues to get more and more in-person presence with the physicians with their detail calls, but to be honest, we're still not at pre-COVID levels for new patients. The patients still aren't coming in as much as they were in the past, but we are almost at those pre-COVID levels as far as new patient starts. So we're really starting to see that building of the product, and again, in October, which we haven't mentioned, it was our best month to-date as far as prescriptions are concerned. So, we're seeing a nice lift of our prescriptions even though they were growing all along during COVID. But importantly, when we look at those new patient starts, a very large percentage of those are switches, and that's an important thing for us because the switch business, there are 7 million prescriptions a year for testosterone replacement therapy, 70 plus percent are IM injections, and so we're just really starting to scratch the surface of getting those patients, those IM patients to start using XYOSTED, and that's where a lot of our success stories have been over the pandemic is really those patients who were going into the office, getting their IM injections, they get put on XYOSTED because they can use it at home, it's easy to use, it's virtually painless once-a-week injection, and they come back to the doctor, and they say that the product is so much superior to what they were used to with the IM product. So, that's a big key component for us on future growth, and what Pat mentioned during his talk is really key, which is, it's getting a deeper writing -- getting more writing from those same physicians that we already get prescription from XYOSTED for. We got early on -- we got a lot of new patients to therapy. That was really where the growth of our business was coming from, and now those doctors are switching their patients who were on IM injections, and the switch is the hardest thing to do with physicians. If they think that patients aren't complaining, if they seem satisfied, they're hesitant to switch, but now we're seeing more proactive switching being done because of COVID and because of the messaging that our team is bringing to the physicians, and so, we expect that trend to continue, and we really look forward to --  XYOSTED continue on its growth trajectory going forward. Fred, do you want to take that second question?
Fred Powell: Sure. Good morning, Anthony. Regarding Generic Forteo, we're waiting to get the first royalty report for the international sales. We have the agreement with Teva where we would actually receive -- or we do -- receiving a royalty report 45 days after the end of a quarter, and since Teva announced that they started selling the product in the third quarter of 2020, we would expect that report to come in the middle of November. We don't know what that amount is for the royalty, but once we actually have the royalty report, we would then receive payment after that period of time. Regarding device sales, we have sold the pre-launch materials to Teva in 2019. In the future, when we have additional sales, we will manufacture the devices and sell them to Teva. At the time of shipment to Teva, we'll recognize the revenue for those devices, and then it just follows their standard terms of payment to us; so, nothing unusual there in the arrangement, but as I said, 45 days after the end of a quarter, we'll get the royalty report for the quarter that just ended, and then we'll get payment for those royalties after that.
Anthony Petrone: Very helpful. Thanks again. I'll get back in the queue.
Operator: Thank you. The next question comes from David Amsellem of Piper Sandler. Please go ahead.
David Amsellem: Hey, thanks guys, just a few questions. So, first, on XYOSTED -- and I joined late. So, I apologize if you talked to this, but can you say how many of your reps are actually in the field now versus virtual, and what's your expectation for your reps -- more of your reps getting into the field? That's number one. Number two, can you talk to the potential benefit of -- that XYOSTED can gain from fewer in offices? In other words, are you still pulling more and more patients from say Testopel and intramuscular testosterone injection because of these fewer offices? That's number two, and then, lastly on business development, can you just talk about how aggressive you intend to be add more assets to leverage your commercial infrastructure, and are you also looking at clinical stage assets in addition to commercial stage assets like NOCDURNA? Help us understand your thought process there. Okay, thanks.
Pat Shea: Thanks David, this is Pat. Yes, just to address the first part of the question, right now 100% of our sales representatives are active in the field. It just varies across the country in terms of their ability to get in front of physicians for face-to-face versus virtual. We have seen an improvement over time. The last data point we looked at was that nationally on average, about 60% of our calls have returned to an in-person dialogue with providers. We're watching it really closely because it does vary from territory to territory, and in some cases, zip code to zip code, but we've seen a nice improvement over time, and we'll just keep an eye on that as things evolve over the next couple of months. From I guess a switch perspective relative to where we feel the brand has a great opportunity to perhaps place other types of products, Bob did talk earlier about some of the targeting relative to IM injections and the fact that -- with XYOSTED, we don't have to have folks come in on a weekly basis to receive those. So, that is definitely an area that we continue to have conversations with physicians about and the benefits of XYOSTED versus that type of delivery. And then, Testopel was another area that over the summer, the team had some sub-targeting types of activities where we're able to look at Testopel targets, and encourage those folks to switch to XYOSTED, and we had some success over the summer doing that as well, and we'll continue to look at that throughout the fall.
Bob Apple: And then, based on your business development, how aggressive we will be. We continue to be very aggressive in looking at multiple assets, and then, what we're doing from a 30,000-foot view is strategically, we're focusing on assets that are in endocrinology or urology because that's where our 90% sales team is -- that is where they're having a lot of success, and we want to build off of those relationships. The value of the sales team besides what they're doing through XYOSTED and OTREXUP and now hopefully NOCDURNA is that -- is leveraging those relationships that they have with the physicians. We're one of the few urology, endocrinology sales teams out there, and we have really good access, and so, when we look at business development opportunities, we're really trying to focus in on those areas. So, we have a team that's completely dedicated to looking at business development. We looked at assets that are already going in the market, but NOCDURNA, we look at assets that are under review at the FDA, and for various reasons, we either are moving forward or we decided to pass on those opportunities, but it's a key component to our strategy going forward is to building additional products for our product portfolio. Now, when we look at clinical stage versus marketed products, I think what we're trying to do is get more products back like we did with NOCDURNA so we can build the revenue, so we can build the value very near-term, and then really start to look at earlier stage assets as we get more and more success with the revenue growth, and with our sales team and so forth. So, when we look at earlier assets, I would say that we want to really be past proof of concept, we want to be past phase two, we want to be in phase three or know that the data on one or two studies have been positive --  clearly, as we grow our ability to go further downstream or further into the pipeline with earlier stage assets, we'll also grow, and so, all I can say is our business development approach is very focused. Near-term assets right now, we're looking at assets that have already been either -- they're under review and they're waiting for approval and the companies may not be committed 100% to launching it themselves, and/or things where -- or assets where they've had one positive phase three study and now they're doing their second. So, we cover the gamut on opportunities because we want to make sure that we continue to fuel the growth of our portfolio through internal development as well as external corporate development.
David Amsellem: So, can I sneak in a follow-up question, Bob? So, as you add assets or look to add assets, will you consider monetizing any of your key royalty streams in order to not just boost your cash position but also give you more flexibility in terms of seeking asset for your commercial portfolio?
Bob Apple: We look at all different opportunities or whether it's through debts or through using our revenue streams like our royalty revenues, which are pretty robust because we wanted to do this in the best way possible for the company and for our shareholders and try to limit any type of dilution. So when we look at opportunities, depending on the size of them, it really depends on the avenues in which we look into how we're going to finance those, and so, royalty streams is clearly something we have in the company and they have a lot of value particularly with won their own market like EpiPen and others, and then we also obviously have a pipeline of royalty opportunities that also can be looked at. So, David, we do look at the various ways to finance these, and what I can say is when we initially assess an opportunity, how we're going to finance it is not part of the equation. We want to make sure it's the right asset. It's going to fit the bag. It's going to fit for the company, and then we can determine how we find it, and what I can say is we haven't turned any down at this point because of the need to generate cash and a need to just finance or a need to sell a royalty stream. We really have been focused on assets we think that will work and do well for our company and our sales team.
David Amsellem: Great, that's helpful. Thank you.
Operator: Thank you. Our next question comes from Stacy Ku of Cowen & Company. Please go ahead.
Stacy Ku: Good morning. Thanks for taking my questions. Appreciate all the details on XYOSTED, but just one from me, a point of clarification on the prepared remarks, as we think about Q4 and 2021, could you quantify how we should be thinking about Makena and EpiPen dynamics? What can you disclose in terms of the expected EpiPen device demand from Teva? Thank you.
Bob Apple: Sure, so for EpiPen, what we can say is that Teva had a really strong Q3, which obviously translated into a strong Q3 for us, for devices and royalties in that. They had roughly a 43% market share at the end of the quarter that's going up to about 48% market share in the last month or so. According to Symphony, they did about 293,000 units in Q3, which was up from 176,000 units in Q2. So, clearly, there was a back-to-school increase, but overall, the market itself or back-to-school was impacted by COVID. Year-over-year the market was down 22% in the third quarter for both the Mylan product, Teva's product and the overall EpiPen market, which also includes another rescue pen from another company, but when you look at it, Teva grew 24% in that period. So, they really added a lot of success in taking market share from both of those products. So in the down market, Teva really did a great job. Going forward, so far the October was very strong and I think we would be more consistent with previous October's, and with the pandemic, the only thing I can say is know, we'll keep an eye on the market, but people need EpiPens. It doesn't go away if they're at home or if they're outside or at work, and so, the only impact that we can't quantify is if there aren't tremendous spikes going forward and things get shutdown again, does access to the product get changed, does do people -- if there's a long drawn out impact of COVID, it does -- the cost of the product become a problem for patients, but right now we expect the EpiPen to continue to have a solid Q4 as well as going into 2021, particularly with the way that Teva has been performing.
Stacy Ku: And then a follow-up on Makena, clarify.
Bob Apple: Makena, the only thing we can say is that we continue to provide product to AMAG for patients and for physicians. The sales revenue or the product revenue that were shipped, or the product amounts that we're shipping are pretty consistent with what they were in huge rate. So we haven't seen a dramatic shift relative to the recent request by the FDA to pull the products, and only thing we can do is continue to provide product to AMAG during the review process. AMAG has been very public about their intent to challenge the FDA's position on Makena, and they have publicly stated that the process will take some time, don't know exactly how much time that will take, but we know we're pretty confident in Q4. We'll continue to supply product and then beyond that it really is a function of how AMAG responds to the FDA, but again, their public statements have been ended. The period of time they take could be extended into next year for sure. So it continues…
Stacy Ku: Very helpful.
Bob Apple: Thank you.
Stacy Ku: Thank you.
Operator: Thank you. We take our next question from Elliot Wilbur of Raymond James. Please go ahead.
Elliot Wilbur: Thanks. Good morning. First question for Bob and Pat, I want to go back to the commentary you provided around the synergies in terms of the call pattern with respect to NOCDURNA and XYOSTED, obviously a significant amount of overlap with existing XYOSTED prescribers, but I wanted to ask the question in inverse manner. I mean, there's a fairly large prescription base out there in terms of products prescribed off label for nocturia. I'm not sure if you've really had a chance as of yet to kind of dig into that, but wondering if you have sort of whether or not that may provide an additional opportunity in terms of being able to leverage XYOSTED into urology practices that may be relative under prescribers of XYOSTED, but are fairly high prescribers of products for nocturia not just NOCDURNA.
Bob Apple: Yes, sure. I'll answer that. In the first phase, we're clearly staying focused on that core group of XYOSTED, prescribers that have a strong overlap with NOCDURNA. As we move into Phase 2, we will certainly look at broadening that approach. Yes, we want to make sure we're doing it in a way that's super responsible to the flagship XYOSTED, and we're not going to get ourselves distracted and off course of driving that brand. So, we have started to look at that and we'll start to refine that as we look into kind of first quarter of 2021.
Fred Powell: And I think too, Elliot, if there is a segment of doctors that are heavy prescribers for nocturia, we can look in business development to see if there are other companies that are covering that and look at a co-promote whether they take NOCDURNA into their bag or XYOSTED or so forth. So, we can explore other opportunities if we see a segmentation that we're not covering with our current footprint, or we could -- how we add reps, if we see that there is value. At this point, our plan is not to add reps to cover NOCDURNA, but as we learn more and more about nocturia, which is an area that affects a lot of patients, about 40 million people in the U.S. having is essentially getting up at night more than once to urinate, and obviously as you age, there's more and more patients that suffer from it. So we think that, if this turns out to be somewhere where we want to expand through corporate development or through sales force size, we obviously want to maximize the opportunity, but really just starting to understand how our current doctors are writing it, what the value proposition is from a patient standpoint and we're trying to maximize that as best we can like we are with XYOSTED.
Elliot Wilbur: Okay, thanks, and then I want to ask a follow-up question of Pat as well. Just want to get sort of your high-level observations on the current strategies and game plans around both XYOSTED and OTREXUP obviously kind of on the outside looking in, with respect to XYOSTED, it would seem that things are going relatively well, and the message would be sort of if it ain't broke, don't fix it, but obviously, there's things that you probably see there that may be further optimized, and similar question for OTREXUP as well whether or not you think there's anything that can be there -- done there to sort of accelerate conversion of what is a very large methotrexate market, but has not necessarily converted to the injectable form to the extent originally expected.
Bob Apple: Yes, sure. So, I'll start with XYOSTED. Some key observations and we touched on this in the overview I think that part around focusing the effort in that core group of physicians who have written brands since launch, right, I it's 6500 and maybe even up to 6800 most recent data. We really feel that that's a great opportunity for us to go deeper into prescribing with that group, and we've sub-segmented that group into three or four segments, and we're deploying our field force against those folks. So, going deeper with those who have already tried to brand we believe is a great opportunity. The second piece is we've only scratched the surface from the digital social media standpoint and looking into next year perhaps being more assertive in a space there. And then the third piece is as was alluded to as we evolve in this new environment and number one focus is face-to-face calls. We are also looking to evolve our virtual platform over time, right, because we've done a great job from the start. Everybody is doing -- and the business is catching up to that, and now we want to try to start evolving those tools and those tactics in order to have this hybrid dual approach with physician. So, those are three areas around XYOSTED. OTREXUP, we have a small and very focused group of prescribers as well, and the key right there for us is to maintain that focus in that group and see what we can do to go deeper with that core set of physicians. More to come on OTREXUP, I think we're -- obviously we see that is an important brand. We are really dialing in a very focused effort there, but we are spending majority of time making sure we can drive and sustain robust growth of XYOSTED.
Fred Powell: I think that when we look at it from a strategic standpoint Elliot, when we look at the upside of XYOSTED versus any upside of OTREXUP, XYOSTED clearly - you know, do worse OTREXUP in the opportunity. So, we don't want to divert the attention of our sales team, and even if you were to add sales team members, you still don't want to divert on some -- the flagship product XYOSTED, and so, we are looking at how to improve OTREXUP's performance, but one thing I'll remind everybody it's a profitable product for the company. It only is right now about 15% of our sales call focus or about 20%, but now it will go down about 15%. So, we believe that we are doing the right thing by putting all energy behind XYOSTED and then more energy around NOCDURNA going forward because we think that both of those assets have much more upside than OTREXUP, but overall, again OTREXUP is profitable. It's still valuable asset. Patients still use it. Doctors still use it, and I think continuing to be utilized for rheumatology or for rheumatoid arthritis on a go-forward basis, and we will see what we can do to try to get more out of that product as we look ahead.
Elliot Wilbur: Okay. One last question for Fred, any directional commentary you can provide with respect to operating cash flow and operating income trends in the fourth quarter given the incremental investment required to support the re-launch of NOCDURNA? Understand it could be relatively small, but any directional commentary there would be helpful. Thanks.
Fred Powell: Sure. Now, looking at the fourth quarter clearly our biggest drivers are XYOSTED as well as EpiPen, and so, we continue to see the same level of support, investments, operating cost and margins coming through for both of those products. When it comes to unusual expenses or anything larger in the fourth quarter as opposed to third quarter, looking at where we stand now, I don't see anything. Clearly, we're still looking at the quarter as momentum from the third quarter building into fourth quarter, and historically we've seen our strongest quarters have been our fourth quarter. So, we're looking to continue that as we end the year. One thing about the margins we saw going forward, clearly proprietary products had the highest margin. Next year, we will continue to see that with NOCDURNA that actually has a better margin than our auto-injector. So, we would hope that would continue to drive the margin piece of our business when it comes to the lower margin products that's on the partner side, and the third quarter had significant development dollars, significant development dollars; 50% of our year-to-date dollars for development came in third quarter as really the Idorsia selatogrel pen as well as the Pfizer product has started to really ramp up in terms of the work being done, and so, we expect that component to continue to go into the fourth quarter in 2021. So, you almost have competing pieces if you will with higher proprietary margins, plus the partner products and development. So, overall, I think when you're taking a look at the business, I think we will see margin improvement continue in 2021 from where we are right now because of the focus on XYOSTED and NOCDURNA and seeing both of those have significant growth.
Operator: Thank you. Our last question comes from Matt Kaplan of Ladenburg Thalmann. Please go ahead.
Matt Kaplan: Hi guys, thanks for taking the questions, and congrats on the progress during the quarter. I wanted to zero in on XYOSTED for a minute, and can you give us a little bit more detail in terms of what your learnings have been as you continue to launch the product, and commercialize the product into the COVID-19 pandemic situation as you pivoted to kind of more virtual sales organization? What are the learnings and systems that you put in place that you think you can expand or continue going forward to continue the momentum and growth that you see in that even as we kind of exit the pandemic sometime next year?
Bob Apple: Hey Matt, I want to give that one to Pat.
Pat Shea: Thanks Matt. Yes. I mean it's a great question, and we've benefited over the course of the last six months from the extensive learnings from the virtual platform that we launched right out of the gate, right? And our systems I think are very sophisticated in terms of what we're able to capture in terms of rep activity, and we have learned that those folks who are balancing the effort of virtual calls with face-to-face calls are doing very, very well. So, they have embraced the virtual platform, they're getting out to prescribers in a safe and an effective way where they can for face-to-face, but when they can't, they're really pushing hard with a number of virtual packets, and so, what we've done in this fourth quarter in addition to fine-tuning our targeting strategy to that 6500 group of writers to go deeper, we've also given guidance to our sales force in terms of the types of calls, and the number of calls both face-to-face and virtual. So, we've taken those six months of learnings and now have tactically applied that across the entire country with all 79 representatives. So, there are certain virtual tools that seem to play out better than others. Anytime we have a chance to do a face-to-face virtual lunch-and-learn with a provider that's always front and center, email traffic is pretty high, text messaging is pretty high, and also letter campaigns and email campaigns that allow providers to request clinical information, promotional information, patient information, copay card information, they're all in play, and we see the variability across the country in terms of who is using that and who is not, and as I said, we're giving that guidance to our team for fourth quarter.
Bob Apple: And I think that you know, man, I commented it, the pharmaceutical industry was historically little slow in adopting technology, and really how you change the business, and what I would say is I don't see the industry going back, meaning that, if they've been successful like we've been with a virtual platform, we're absolutely going to continue to use a virtual platform post COVID. We have seen it is more efficient, and I think that once people are comfortable with technology and they see that you can get your job done and actually can do a better job with it, it just becomes part of the normal process going forward, and clearly, virtual detailing, everything before COVID was you had to be in front of the doctor, you had to be in front of the doctor, well, now we're learning and I think as an industry we're learning that you don't have to be in front of the doctor every single time. You can be more efficient by doing a blend, and so, I think we're going to get more calls from our reps, we're going to get more productivity from our reps by using a combination of the virtual platform as well as in-person, right? There's always that element of that touch-point that I think is key for product success, and for it to be top of mind of a doctor when they're going to write a prescription, but at the end, I think that going forward, we're going to definitely see a hybrid of how people detail, and I think it will be great for products like XYOSTED, particularly in year two, year three of the launch, and continue to get momentum, and being able to focusing -- more doctors and more calls by using both.
Matt Kaplan: Great. That's very helpful. Thanks for taking the question.
Bob Apple: Thank you.
Operator: Thank you. Ladies and gentlemen, if there are no further questions in the queue that will conclude today's Q&A session. That concludes today's conference call. Thank you for your participation. You may now disconnect.